Francoise Dixon: Good morning, everyone, and welcome to the Mach7 Q1 FY '26 Results Briefing. My name is Francoise Dixon, and I'm Head of Investor Relations for Mach7. Today, our CEO, Teri Thomas; and our new CFO, Daniel Lee, will provide an overview of our Q1 FY '26 results. We will then open it up for questions. [Operator Instructions] I'll now hand over to Teri.
Teri Thomas: Happy Halloween. One of my favorite holidays, and I'll just start off by addressing the scary stuff. So this was my first quarter as Mach7's CEO, and it was a reset quarter. We've made some tough but necessary choices to strengthen the business with a goal of long-term profitability, but also operational excellence. And we have more changes to work through going ahead. It's been a good start in transforming this business, and I'll review some of the key changes later, but one key change is appointing a new CFO, Daniel Lee, who has a nick name, D Lee, which I love because I expect a lot of new logo deals to happen under D Lee. So I want you to know Mach7 is a desirable place to work. We had over 500 applicants for the CFO job in just two days. And from that large pool, Daniel stood out for his deep experience and financial discipline, but also his willing engagement to partner on strategy. He's already proving to be a great partner to me as we unite financial rigor with business and commercial innovation. So, love to introduce you to Dan. Dan, why don't you share a little bit about yourself?
Daniel Lee: Thank you for that lovely introduction, Teri. I really am loving this opportunity with Mach7. This is a very important time in the company's journey, and there are very significant opportunities and potential ahead of us. Over the past several weeks, I spent quite a bit of time getting to know our team, our customers and our financial and operational foundations and processes. What I can say is that we have great strength in our technology, very loyal customers, and we're very well positioned to capitalize on all of these opportunities. As CFO, my ultimate goal really is to be a true and close strategic partner to Teri as well as our new sales leader and the rest of the team so we can drive growth, strengthen our revenue engine and accelerate our path to profitability, and I'm 100% on board to do that.
Teri Thomas: That is fantastic. Thank you so much. I'm really glad that you're on board. And now on to our presentation. So this particular slide describes for those of you who are unfamiliar with us, I love that I get to work in an industry that has some real meaning that impacts patients' lives. So this is what Mach7 does. We provide mission-critical software. To say it quite simply, we get the right images to the right people in the right places at the right time, diagnostic quality and fast. And I'll be talking more about it later, but to give you a sense of how important this is, our tech is being used in areas like telestroke, where accessing the image quickly often is the factor determining if someone lives or dies or if they recover or they don't recover. So speed in our technology is absolutely critical. And in my calls with our customers, I'm reminded by them regularly how the work we do is extremely important. Speaking of customers, we had one major customer milestone this quarter, the initial go-live of the U.S. Veterans Health Administration's National Teleradiology Program. This first step in a phased go-live is addressing the needs of two unique departments that are very different from traditional general radiology. As I just mentioned, telestroke is all about critical decision-making. Images determine the path to treatment thrombolysis or thrombectomy, every piece of this program hinges on speed and instant access to images from anywhere. Our unique capabilities with zero footprint deployment, real-time image ingestion, low latency retrieval and intelligent routing are absolutely critical for telestroke. The other area that NTP is using our software is mammography, which is now live. It's a service I know well, known for its unique technical and operational challenges compared to general radiology, very high image quality needs and management of extremely large file sizes, especially digital breast tomosynthesis and then also integration with third-party systems because it's a more regulated part of imaging are really critical to the success of this service for the United States veterans. This go-live, though was far more involved than a typical go-live, not just because of those two initial departments, but also it included an arduous process of individual staff needing security screening and credentialing. This included background investigations, travel to specific locations to file paperwork. And the security work was necessary to be able to provide system access and on-site training as well as support and access to the broader deployment within the VA. So this large effort, much more engagement needed than a typical go-live. However, we now have the credentials and the infrastructure in place to support the anticipated rollout to other departments starting in the next few weeks and even to be able to expand to other visions in Phase 2 in the future. Now I covered that first bullet. Dan, why don't I hand it over to you to go through a little bit more about our financials this quarter.
Daniel Lee: Thanks, Teri. That sounds good. Yes, let's talk some numbers. So, from a financial perspective, the first quarter represented a very solid foundation for the reset that we've just been discussing. Our annual recurring revenue run rate increased slightly to $23.5 million. This is highlighting the durability of our subscription and maintenance streams, which is really a core strength of the Mach7 model. Our contracted annual recurring revenue or CARR closed at $29.6 million, broadly consistent with June levels from last quarter. Sales orders totaled $2.6 million, an improvement of 17% over the same period last year. That growth reflects continued customer engagement and confidence as we realign our commercial approach. Now we did see a decline in operating cash flow over the quarter. Receipts from customers were $4.6 million, a 27% decline over the same period last year. Now the drop was mainly because of receipts timing, not underlying demand as we had two delayed renewals. These two transactions alone represented roughly 80% of the total discrepancy in cash, but both have since been invoiced post quarter. Normalizing for these timing issues, our pro forma operating cash flow would have broadly been in line with expectations compared to the same period last year. On the expense side, this quarter, the total payments were $8.3 million, which was a 16% decrease when compared to the same quarter last year. Now admin and corporate costs, which is a part of the total payments rose to $2 million, which was up 24% year-over-year. Now this was primarily driven by two one-off items. We had our annual insurance payment, which is normally paid in the fourth quarter of every fiscal year, but it shifted into Q1 this year with an expanded coverage. This item alone represented approximately $600,000. And we also had a payment related to regulatory and MDR technical reviews. These two one-off items combined represent roughly half of the entire admin and corporate costs for the quarter. We ended the quarter with $18.9 million in cash, zero debt, and we maintain a very strong balance sheet. And we're very well positioned to execute on our strategy now. Fundamentals remain very sound, and we are committed to operating very efficiently, and we had a significant reduction in our staff costs. And now I'll actually pass it back to Teri to talk a little bit more about that.
Teri Thomas: Thank you very much, Dan, D Lee. Good transition point as I start to turn into our strategy, key elements of which are already in motion. At a high level, we've begun driving some greater operational efficiency across the business. Staff costs are down 18% year-on-year with most of that progress achieved this quarter. We've streamlined our leadership structure, bringing services and support together under a single customer-focused leader. We're evolving our talent model to attract and grow builders, people who are humble, hungry and smart, eager to advance their careers and make a real impact. And as our organization continues to mature, we're creating more opportunities for internal growth while keeping our cost base disciplined and sustainable. We expect to continue to develop more operational efficiency by hiring in lower-cost hubs, at least when we can and also increasing the diversity of our workforce. And now I'm going to give you a sneak peek into our strategy, which we'll be outlining in more detail at the AGM alongside some new product announcements at RSNA in November. I'll also be meeting with several investors in Australia just after RSNA for a broader set of discussions. And I'm very much looking forward to seeing some of you in Aussie in person. Do bear with me, though, I'm going to keep this pretty high level. I can talk about it all day. I do believe strategy isn't a single moment in time. It's a way of operating, and we've already begun executing several elements of our strategy, while others will unfold over time. So our strategic theme overall and product positioning is from archive to architecture, and this slide summarizes the overall picture. First point sets the context. Our industry is undergoing rapid change. Costs are rising, talent is scarce, data continues to fragment, and it creates a significant opportunity for companies that can deliver efficiency and also interoperability and connections. Second point represents our evolution. We're building a strong base while leaning deeply into customer needs and industry trends. We believe that truly understanding our customer and aligning with them is the best path to winning in this market. Now the third point speaks to advancing our mission, connecting images, people and insights to create a stronger, more intelligent future for health care, and I'll share more about that in a minute. And finally, the fourth point, execution, embedding a dynamic operating model that aligns strategy, structure, technology and talent, driving accountability, driving agility and ultimately driving results. That's the last part of our strategy, and I'll expand briefly on each of these points. Next slide. All right. A little bit on market opportunity. We are in a very resilient industry and our tailwinds are strong. The enterprise imaging market is projected to almost double, reaching about $4.1 billion by 2030, growing at roughly 12% annually. And in order to take advantage of AI and modernized software to address rising cybersecurity concerns, hospitals and health systems are updating and consolidating multiple imaging systems into unified interoperable platforms. This is precisely the space that Mach7 plays in, helping organizations replace fragmented vendor locked systems with open scalable architectures. AI and medical imaging is the fastest-growing part of our market. AI is moving rapidly from experimentation to operational integration and success increasingly depends on having the right data infrastructure, being AI ready. Mach7's architecture enables that by ensuring imaging data from multiple sources is clean, structured and accessible for clinical use as well as creating AI models. At the same time, health care data volumes are exploding and about 3/4 of that data is in the form of some type of imaging, whether it's radiology, video, ultrasound, CT scans and more heavily siloed across many departments and many modalities. A vendor can provide a strong radiology-only system, but patients and clinicians need more than X-rays and more than traditional radiology platforms to tell the entire patient story. So customers are looking for unified data management that simplifies workflows, reduces costs. And this third point has been validated over and over in my calls with customers as well as prospects and even class. They need strong tools to improve coordination of care. They need completion of the EMR with all of the right imaging. So we see rapid growth across high-volume specialties, not just radiology, but cardiology, oncology, teleradiology has been growing, and it's increasingly referred to now as tele-imaging because it does go way beyond radiology. Distributed reading, remote collaborations, AI-assisted diagnostics are becoming the norm. And these shifts play directly to Mach7's strengths, interoperability, hybrid cloud delivery and scalability. So the opportunity in front of us is not just about participating in a growing market. It's about defining how imaging data is managed and monetized in the next decade. The market is transforming. And in a shift as profound as the move from film to digital a couple of decades ago, that first wave redefined access speed and storage. The wave we're in now is about intelligence, activating imaging data through agentic AI and enterprise-wide interoperability, again, going way beyond just radiology. And that brings us to how we are innovating to meet this opportunity through our product and technology road map, which is designed to take Mach7 from archive to architecture. Next slide. So this isn't simply a technical upgrade. It's actually a response to a clear need, open, vendor-neutral platforms that unify a very broad set of data, automating workflows and enabling AI-driven decision-making. That's the foundation of archive to architecture as our strategy, transforming imaging from static storage into an active intelligent ecosystem. We will announce a new architecture launch at RSNA, an intelligent data platform built to enable agentic AI through an expanded array of open APIs and unified orchestration. It's designed to enhance integration and empower providers to deploy and manage their own AI models. We will also expand our eUnity viewer. It's fast, it's user-friendly. It's great for the enterprise. And we're moving this into a broader tele-imaging platform. We can unite radiology, advanced visualization, which is needed for a number of those growing specialties and then adding new areas like digital pathology into one coordinated viewing space. We'll release 3D visualization and distributed diagnostics while maintaining Mach7 zero footprint simplicity and interoperability. And then finally, we'll integrate system performance and workflow analytics tools to enable continuous optimization in areas like safer and intelligent migration to the cloud, something that our customers are keenly interested in, especially given the recent AWS outage as well as Azure outages in the last days and weeks. And this will be a key part of our offering. So together across these three areas, we will provide a connected AI-ready ecosystem, transforming Mach7 from a VNA and a viewer into a leader in intelligent imaging architecture. This is how we position ourselves to lead in the next decade of health care data innovation. Now how are we going to do that? Asia. To execute on our innovation road map and new product launches, we are expanding, but we're doing it in a cost-effective way. Our development teams in Canada and the U.S. will be complemented by a new lower-cost innovation hub in Asia to scale engineering capacity and accelerate product development with lower overhead. It also positions us closer to some high-growth markets in Asia and the Middle East, where we're seeing some strong demand for enterprise imaging and interoperability and where our upcoming CE Mark opens up new possibilities for enterprise and government sector opportunities. We do expect our CE Mark in the coming months, which is critical for Europe, but it's also quite important for large opportunities in the Middle East. This hub will serve as a strategic beachhead for AI readiness and platform innovation as well. Now I gave my first boom right, welcome back gift. For key contributions from our past, we do a pile of those behind me as we welcome back innovators that we worked with in the past as well as those that are new. And one of these, the first went to Ravi Krishnan. He is one of our original founders, and he brings absolute product evangelism, deep regional insights and strong customer relationships in Asia and the Middle East. He was very engaged in key large customers joining Mach7 in years past, and we really look forward to his energy and his support in once again engaging strategically and closely with some of our very largest customers, growing sales, driving innovation that is well aligned with the needs of the market. So, Asia will not remain a quiet outpost for Mach7. This strategy involves transforming our existing Asia office into a growth engine, driving innovation, efficiency and expansion. So speaking of transformation, many strategies look good on paper, but they don't move the needle. So why will our strategy work? Underneath our vision and our road map is a solid operating model and one that we've begun to execute. I like the McKinsey performance framework because it connects the dots from strategy to transformation, helping us align across 12 key dimensions of the business with our strategy. The most impactful for us right now, what you see in the upper left-hand corner is the value agenda. That drives most of what's behind the core of our strategy moving from archive to architecture. However, it also goes into our structure, our leadership, our technology levers. And a lot of those levers are already moved into position. However, we're designing through the next layers, process improvement, talent acquisition, leveraging our unique global footprint, metrics, rewards. Our purpose, it fuels our work. Our value agenda drives the Mach7 loop, connecting customer engagement through our flight crew to marketing, referral-based sales, customer-driven innovation. Our structure is evolving to support all of this with leadership alignment and accountability designed for faster and more focused execution. Our leaders all adopt a customer to ensure that we have knowledge of the customers' needs, driving decisions throughout our business. And technology is an important enabler. So we're bringing in more automation. We're leveraging AI and making data-driven decision-making as part of our work. So the model is not static. It's a system we are building and refining as we learn. But it's what allows our strategy to move from intent into action. Next slide. So building on that operating model, we've executed a full commercial transformation, one that reshapes how we engage with our customers, how we deliver value and how we grow. We've overhauled the sales organization, and we brought in Todd Stallard, Todd Stallard as our new VP of Sales to lead a refreshed sales team. He is a proven commercial leader with deep expertise in partnerships and complex global deals. But most importantly, he's a former football player whose middle name is drive. He has a healthy dose of get up and go, which I absolutely appreciate. And as I mentioned before, Ravi has joined us to help accelerate innovation and engage in some major enterprise and government opportunities. And we've refocused on well-aligned enterprise opportunities that emphasize long-term partnerships in markets where interoperability and AI readiness are top priorities. We've also added a Chief Innovation Officer to unite product and engineering under one leader to accelerate delivery, strengthen alignment and drive faster innovation cycles in connection with that team in Asia. Now speaking of in connection with teams, our flight crew. A key part of our commercial transformation is how we engage with our customers. This truly is the cornerstone of everything that we're doing. So that's where the flight crew model, which we introduced in August, comes in. Each customer has a dedicated cross-functional team led by the ACE, the advocate for customer experience. This creates a single point of accountability, and it ensures faster, consistent support across every stage of a customer relationship. The flight crew model delivers a unified Mach7 experience, improving response times, most importantly, though, deepening relationships, two way. Our staff get to know our customers. They care deeply. They're not just a ticket, and the customers feel that. connecting them directly with our product and innovation teams will also accelerate our ability to do relevant innovation that we know customers are clamoring for and ready to use. And it empowers us in what we call the Mach7 loop, a continuous cycle of feedback and innovation that ensures customer insights directly shape what we build, provide fuel for our marketing, happy customer references, drive and support sales success. So the way we engage with our customers, the way we innovate and the way we execute is all grounded in how we show up as a team, our values, our mindset and our shared accountability, which brings me to our new culture code, clients. Underpinning all of the strategy is culture. It is the execution engine for our strategy. So the mindset that we are building, it starts and ends with the customer. Customer first, everything starts with understanding who we're serving, learning and growing. We are a learning organization. Curiosity and development fuel our innovation. You can't work in technology if you don't have a growth mindset. Innovating for impact, ensuring that everything we do creates measurable value. A couple of things specific to us. M, minimizing complexity so we can move quickly and scale efficiently, I believe, is critical to our profitability. We need to make things as complex as they need to be, but no more, and we need to be nimble and scrappy. So, M, is all about moving, moving quickly and minimizing complexity. And then B, building, build with ownership, empowering our teams to take accountability, but we are making stuff. And then finally, I said it starts and ends with the customer. Sell, selling and growing together, aligning commercial success with customer success. Everyone we engage with as a prospective customer is simply a future customer that doesn't know it yet. So we will focus on our conversion rates. We will bring new customers in. And these aren't just our values. This is how we execute as an organization. This culture code, it tells people what to do when nobody is there to tell them what to do. Last slide, closing outlook. As we look ahead, Mach7 is very well positioned to execute on the strategy that we've outlined today, supported by a refreshed leadership team, a clear focus on commercials, also cultural and operational excellence. We understand our responsibility as a public company. So shareholders are also important in our decision-making. We seek to reshape how imaging data powers health care, translating that innovation into financial performance and creation of long-term value. So financial discipline will remain very important to us. Dan and I believe in maintaining a strong balance sheet, managing our cash flow carefully and accelerating towards sustainable profitability. We've paused activity in our on-market share buyback program while we complete the strategic review, ensuring that every decision aligns with our growth priorities and capital discipline. We'll share more detail on our growth strategy and our fiscal year '26 outlook at the upcoming AGM. So I'm going to close by saying I'm very confident in where we're headed. I'm very proud of the progress that we've made. And I'm quite energized by the opportunity that Mach7 has ahead of us. We're evolving, and I firmly believe it's changing for the better. Dan, would you like to say any closing words before we move to questions?
Daniel Lee: Sure. Thank you, Teri. So fiscal year 2026 is a reset year, but it's also a turning point. From a financial perspective, our focus is extremely clear, disciplined execution and profitable growth. We are going to focus on operating within our means. And as I mentioned, we have a very strong balance sheet with no debt. And now really, it's just about applying capital precisely where it drives the most impact. As we move through fiscal year 2026, we expect to maintain continued emphasis on operational efficiency. and improved cash conversion and sustainable profitability, all while supporting the innovation that defines Mach7's next chapter. It's a solid foundation for the growth ahead, and we're executing with confidence and focus. Thank you.
Francoise Dixon: All right. Thank you both. I think we'll open up now for questions.
Francoise Dixon: We received one question in advance from Luca. And his question was, has Mach7 lost any customers during the quarter?
Teri Thomas: So, yes, Mach7 has lost a customer. And it's a little bit of a lemons, lemonade situation. So we had one small customer. It was less than $100,000 ARR who was a joint venture that -- the joint venture has been dissolved. So that customer doesn't exist anymore. There's nothing we could have done about it. However, where I said lemons to Lemonade, a number of those radiologists who really enjoyed using our software have moved to a larger IDN in their area, and they have reached out and engaged with our sales team. And we have a great lead to what could become a much bigger customer. So while, yes, we lost a customer, we expect that this may transform into something far bigger in the future.
Francoise Dixon: Thanks, Teri. We've received a couple of questions from Peter Cooper. So I'll deal with each one at a time. The first one is, what is the timing and process for being extended into Phase 2 of the VA contract?
Teri Thomas: I cannot give you a lot on timing as we are in the middle and very focused on Phase 1 right now. The wording of it is it is something that can be executed in the future, but it's up to each visit in terms of when they would want to go forward. And I forget there is some sort of a backstop. I cannot remember what it is, but I could follow up with that later. Process-wise, though, the good thing is once we get this Phase 1 rollout process done, and we've got active activities happening with that, I feel optimistic about it. We have created a government affairs part of the business to engage with the other visits. And one thing about doing government work is it's far less paperwork for them to be able to go forward with an existing vendor that has this infrastructure in place. So we anticipate that as soon as RSNA will start engaging more with some of the visits. We've had some conversations with a few of them already. So we -- I can't comment about when these things might happen, but I can comment that we are starting to think about that. But our top priority right now is getting fully rolled out in Phase 1.
Francoise Dixon: Thanks, Teri. Our second question from Peter Cooper is, what has Mach7 learned from the loss of Trinity?
Teri Thomas: First of all, let me share that Trinity does remain a customer of ours. They've scaled back their engagement with us. However, they've got multiple contracts with us. They're still using us in some areas, but it's a smaller engagement than initially. One of the first customers I visited was Trinity, and I went in with a very open mind and listening ears, and I think there was a lot to learn. Some of the changes that we made to the customer part of our business, overhauling and removing silos, creating a designated team, the whole flight crew that I laid out just now, a lot of that was in direct response to the feedback from Trinity. So the one thing they shared, they said it wasn't about the software. It was about the engagement model, and we've completely changed our engagement model.
Francoise Dixon: Thanks, Teri. Our next question comes from Wei Sim. Teri, what are your thoughts on GTM for VNA versus Viewer and the niche which Mach7 is looking to focus at?
Teri Thomas: I'm going to ask if we can postpone an in-depth answer to that question as it is fairly complicated because the strategy that we share -- I deliberately didn't put a ton in about product and go-to-market in this preview because there are certain things we're going to release at RSNA. So I'm going to ask if I could postpone that question until we do our in-depth strategy discussion around AGM right before and/or the roadshow right after RSNA.
Francoise Dixon: Our next couple of questions come from Stephen Bailey. The first one is, how is Mach7 planning to utilize its cash pile?
Teri Thomas: I'm going to...
Daniel Lee: I would say that...
Teri Thomas: Give you a chance on that one.
Daniel Lee: I would say bluntly that we don't have a plan per se to use our "cash pile". We are going to be very strategic in how we deploy our capital. One of the things that we are going to make sure is that any dollar that we do invest is going to be accretive to shareholder value.
Teri Thomas: Yes. Dan and I have a very strong focus on ROI. And the -- we do not have a specific plan of something that we plan to allocate that cash towards. So my goal right now is we maintain it so that we have it at the ready if we need it, but we focus on operational excellence and a very, very careful look at any investment that we do that we have visibility to a positive return.
Francoise Dixon: Our next question from Stephen Bailey is, will the company recommence the buyback given the low share price?
Teri Thomas: Right now, the buyback remains on foot, pending the finish of our strategic review. So that's something that, again, I'm going to postpone addressing until our AGM.
Francoise Dixon: Our next question is from Wei Sim. When and why did Ravi leave at the time?
Teri Thomas: Woo-hoo. Hard for me to answer that for him. But my understanding is he left a little over a year ago. I'm probably speculating here, somewhere in one to two years ago. And I can tell you that he's very excited to be energized and back with the business, and he and I have a really strong alignment related to realizing the potential for the business. I think that commenting beyond that is probably not appropriate in a public forum. But what I can say is that we welcome him back, and he's very enthusiastic about helping support the growth of Mach7.
Francoise Dixon: We have another few questions from Stephen Bailey. The first one is, is the company looking at making any acquisitions?
Teri Thomas: While I'm not allergic to acquisitions, I'm always looking for a strategic growth lever, we are not currently evaluating acquisitions.
Francoise Dixon: And similar question from Stephen. Is the company being looked at by any other companies with a view to them acquiring Mach7? Is the company actively seeking takeover offers?
Teri Thomas: We are not actively seeking takeover offers right now. Of course, as a public company, people can look at us all the time. However, we do have a defense strategy in place, and my focus is driving operational excellence and driving that share price up.
Francoise Dixon: Thank you, Teri. And the final question we have here from Stephen Bailey is, given the company's business in North America and the general lack of enthusiasm for tech companies on the ASX, is the company willing to consider a listing on a U.S. exchange?
Teri Thomas: My opinion is that we're a little bit too small for a U.S. exchange right now, but I could imagine that at some point in the future when we've achieved some great success from our strategy and grown to a larger revenue base.
Francoise Dixon: And we have a question from Andrew Hewitt. Have you seen any improvement in the class ratings?
Teri Thomas: We have. Now it takes some time to get all of the changes that we've done coming through, class calls, organizations at periodic intervals. However, we get -- we do analyze the comments regularly and look at our scores. and they have been generally trending in the right direction. I also have the CEO's phone number and he has mine to alert me if he sees something not going in the right direction, and he has not called. And in fact, we've gotten positive feedback. I've also called -- one thing we want to do is not just rely on class. We want to know. So our ACE exec program is proactive. So we're reaching out to our customers to make sure that we understand how they're feeling about the engagement, how satisfied they are. We're putting some structures in place to assess their overall technical health, but also how are they feeling about the company broadly. I've joined a number of these calls and gotten to know several of our customers. I'm happy to report 100% of them said -- has said to me, very positive move to the flight crew. So I'm learning in real time, things are pretty positive, and I fully expect this to be pulling our class numbers up gradually over time, but it will take up to a year for all of that to come through their process.
Francoise Dixon: Thanks, Teri. Our next question comes from Chris Martin. What is the sales pipeline like? For the last two years, Mike has said there is a large pipeline that zero new contracts were signed. Is there any update on sales?
Teri Thomas: Yes. My opinion on the pipeline is, first of all, not as big as I would like. It's just not where I wanted to be entirely. We've got a lot of work to do. There are certain elements of our strategy that we're going to kick off at RSNA. And I expect that RSNA will be a great, great injection of energy and actual activity into our pipeline based on how we're going to show up and some of the things that we're going to do to better engage with people in the industry and frankly, get noticed. That said, we've really had good progress in the last couple of months. And it would seem strange when I mentioned the sales reset. Our commission-carrying salespeople are no longer with us. We've got a new sales leader, and we've changed a couple of people around so that we've got a completely refreshed sales team. However, we've lost no sales during this process. And I'm directly involved in most of our active sales. I do get to know those prospects well. I'm partnering with Todd in getting sales over the line. I enjoy it. And I'm happy to tell you, we've got three prospects that either have selected us or have us in the top two that expect to be finishing out their processes between now and January. So I feel good about improving our conversion rate on our not great pipeline, but I have a plan to improve the size of our pipeline and get a lot more engagements in place at RSNA when I expect I'll also have some more team members in place to make sure that we can do a really, really good job being incredibly responsive and very customer-focused even with prospective customers who don't know their customers yet.
Francoise Dixon: Thanks, Teri. We don't have any further questions on the chat, but I'll just give it a couple of seconds and see if any pop up. We do have one. Our next question comes from Shuo Yang. How does today's announcement regarding limited go-live with VA impact the recognition of the $11.7 million TCV over three years?
Teri Thomas: I'm going to give that one to you, D Lee for at least...
Daniel Lee: Yes. To directly answer that question, we have not made any changes to our outlook for that contract.
Francoise Dixon: Thanks, Dan. We have no further questions at this time. So I'll hand back to Teri.
Teri Thomas: All right. Thank you very much, Francoise. And thanks, everybody, for your thoughtful questions and your continued engagement. Before we close, I just want to extend a sincere thank you to our Board of Directors for your guidance, your support through this transition quarter. And your engagement is really valued as we've done a reset on a lot of our business and strengthened our foundation for long-term growth. I also want to express my appreciation to our investors, many of whom have been with Mach7 for a long time. Thanks for your confidence and your patience as I work hard alongside our refreshed leadership team to transform Mach7 into a stronger and more focused as well as consistently growing company. And through all of this, I do believe in having some fun along the way. So we work hard, we play hard, and we're committed to making a positive impact. That's for our customers, for our team, but also for you, our shareholders. So other elements of our strategy are set to unfold at RSNA, including changes in our marketing and a new fun element that we're going to pull in. So the Mach7 of the future will look different from the Mach7 of the past, but I firmly believe it's changing for the better. We are building and we are building something meaningful, something we can be proud of, and I absolutely believe the best is yet to come. So thanks for your continued support and your belief in Mach7, and I do look forward to giving you a fuller update at the AGM. Thanks, everybody.